Operator: Ladies and gentlemen, thank you for your patience. Please stand by. The conference call will begin momentarily. Once again, thank you for your patience. Conference call will begin momentarily. Thank you everybody for joining us, and welcome to the SL Green Realty Corp fourth quarter 2025 earnings results conference call. This conference call is being recorded. At this time, the company would like to remind listeners that during the call, management may make forward-looking statements. You should not rely on forward-looking statements as predictions of future events, as actual results and events may differ from any forward-looking statements that management may make today. All forward-looking statements made by management on this call are based on their assumptions and beliefs as of today. Additional information regarding the risks, uncertainties, and other factors that could cause such differences to appear are set forth in the risk factors and MD and A sections of the company's latest form 10-K, and other subsequent reports filed by the company with the Securities and Exchange Commission. During today's conference call, the company may discuss non-GAAP financial measures as defined by Regulation G under the Securities Act. The GAAP financial measure most directly comparable to each non-GAAP financial measure discussed and the reconciliation of the difference between each non-GAAP financial measure and the comparable GAAP financial measures can be found on both the company's website at www.esogreen.com. By selecting the press release regarding the company's fourth quarter 2025 earnings and in our supplemental information included in our current report on Form 8-K relating to our fourth quarter 2025 earnings. Before turning the call over to Marc Holliday, chairman and chief executive of SL Green Realty Corp, I ask that those of you participating in the Q&A portion of the call please limit your questions to two per person. Thank you. I will now turn the call over to Marc Holliday. Please go ahead, Marc.
Marc Holliday: Okay. Thank you, for joining us this afternoon as we kick off the year. It's been just weeks since our investor conference, but we've already hit the ground running on our business plan for 2026. We are about a month into the Mondami administration and know there's a lot of pressure and focus on the mayor, coming out of the gate. But it's gonna take some time for the mayor of Bandhami to put an imprint on how he'll govern. He's still putting his team together. And they're at the very early stages of getting their arms around the city. We did see an early test this week with a major snowstorm here in New York. About a foot of snow in Manhattan on Sunday. The administration did a great job getting the city back to normal quickly. With the mayor being very visible and communicating effectively. At the same time, there's a lot of political maneuvering going on as we enter budget season in Albany, This is the time of year when the city makes its case to get the biggest chunk of the state budget as possible for the coming fiscal year. Reflecting the city's enormous contribution to the state economy. This is especially true with the new administration eager to invest in the initiatives and promises made on the campaign trail. I know there's been a lot of talk recently about potential city budget deficits, $2 billion this coming fiscal year and up to $10 billion the following. My own view is that the city starts off every budgetary period with a gap needs to be plugged, and this year is no different. It's not just about expenditures on the revenue side, there's a lot of good news with tax collections up. 8.5% in 2025. A big portion of which came from growth in personal income. One thing that's certain is that the business economy in New York City had an incredible year in 2025, and I believe that when the new revenue forecast come out in the next few weeks, we'll see that the city will be projecting significant additional revenue increases that will help defray the current deficit. Remember, the city's budget is required by law to be balanced at the beginning of every fiscal year, and we continue to remain confident in the city's fiscal stability and strength. Let's not forget that New York City's credit rating is double A, and was reaffirmed by S&P as recently as October which noted that the city has the budgetary reserves needed to navigate any near-term risks. At our investor conference in December, I made the case for what I believe was shaping up to be a stellar 2026 As we sit here on January 29, I feel the same. In short, I think 2026 is setting up to be quite an amazing year for the commercial office sector in terms of occupancy gains, rental achievement, and business growth. Given the lens I look through today, the fundamentals are strong. Businesses are still leasing space and expanding. Growing their businesses, and making lots of money. The big five banks just reported increases to earnings year over year with profits in the fourth quarter up 6.7% and investment banking revenues up 12.6%. And we're expecting when Wall Street member firms finally report fourth quarter profits, they will come close to meeting or exceeding the current all-time high of $61 billion as the number stood at $48 billion through the first nine months. Between Wall Street the big five banks reporting, and what we see going on in our own portfolio, it all reaffirms our view at investor conference that New York City is differentiating itself from other US cities significant ways and will continue to be the central focus of investors looking to deploy capital in debt and equity this year and beyond. Case in point, I led a contingency from SL Green that just finished a ten-day swing through Asia where we collectively held two dozen meetings with debt and equity capital sources investors, buyers, sellers, asset managers, and sovereigns. I can tell you that the appetite to invest in New York was as strong as I have ever seen.
Operator: More motivated to meet or exceed those goals than this year. What emboldens me is that the private markets completely get it. One point I highlighted at investor conference Paramount trading at under $4 a share. And then selling for nearly $7 was not lost on anyone. The private markets see economic growth in real terms, the coalescing of young and highly educated talent, strong business demand right here in New York City. So we're going back to work on what we can control and keep putting numbers on the board until we see it reflected in stock price which I know we will because the disconnect now is simply too big to ignore between the value of our premier assets in this company and our share price. And to be clear, one of those premier assets is our human capital. The people of SL Green who will generate more than a $100 million in fee revenue from institutional investors who look to us to develop manage, and monetize investments on their behalf. Hope everyone out there appreciates our efforts and the enormity of the plan we have for 2026 and thank you for continuing to support our company. Now I'd like to turn it over to our chief investment officer, Harrison Sitomer, who will add some color on how we're progressing on our business plan. Thank you, Marc. On the capital markets front, 2026 is off to a busy start. First, in the credit markets, we have seen a continued tightening of senior loans as demonstrated by our recent financing of Park Avenue Tower, priced a spread of 1.58% at our full proceeds ask. Most notably, we saw AAAs, representing over 50% of the transaction sell as tight as 112 basis points over the treasury rate. While this rate is a compelling borrowing rate, I will remind everyone that in 2018 and 2019, we saw similar classes trading in the 60 basis point range over treasuries. So there's still a substantial amount of room for further rate tightening across the capital stack and, of course, in the index. We will continue to benefit from this momentum as we on our $7 billion financing strategy this year highlighted by the refinancings of 1 Madison Avenue, 245 Park Avenue, and our corporate credit facility. Total approximately $5 billion of the $7 billion plan. We are in various stages of executing on each of these financings and you should expect to see us roll out a series of announcements through the balance of the year as we enjoy a tightening senior borrowing market for quality assets and sponsors. In the equity markets, we are seeing a wide array of new entrants rejoin this market as a result of improving sentiment investors realizing the relative value of New York City commercial office properties versus alternative investment opportunities in an economic climate where hard assets are otherwise trading at premiums. We had a busy New Year's Eve closing out our partnership with Rockpoint at 100 Park. Where we quickly realized on a substantial premium from the acquisition eleven months prior. With the building now a 100% leased, us and Rockpoint together will fund the necessary cost to complete the capitalization of the project. We welcome Rockpoint to our blue chip roster of reliable partners. They are a great firm, and we expect to do more together. This was Rockpoint's first major office deal in six years. A testament to the recovery in New York City. We are in negotiations on contracts and term sheets on four additional transactions in our 2.5 billion dollar plan, and look forward to sharing updates as we further our JV and counterparty roster. On that note, and to reiterate Marc's earlier color, I will add what a difference few years makes in the private markets. After our investor conference, my phone and inbox flooded with it with inbounds looking to explore, participating in our capital markets plan for the year. And Marc talked about Asia, but the interest is really across the globe. I'm seeing it domestically in Canada, Europe, and The Middle East as well. I haven't seen this widespread of demand since pre 2020, and New York is clearly defining itself as far and away the city to invest capital in today. On the fund side, while we have seen stability in the senior lending markets, where we are borrowers, still are seeing inefficiencies and imbalance in the subordinate credit space where our fund is focused. We are tracking for a 150 to a $75 million of deployment per quarter, and the team is hard at work deploying that capital for our customers. We are also pleased to announce that we will be launching fundraising for our next fund focused on senior credit lending as we continue to bulk up our fund business. More on this to come over the next few months. Finally, last but not least, a shout out to Green Loan Services which is now the largest active special servicer of SASB loans in the country. Now servicing five of the top 10 largest specially serviced loans. With that exciting news, I will pass it over to Matt. Thanks, Harry. Clearly out of the gate strong here in Chattering January, no matter how many snow days people in the market seem to wanna take recently. As excited as we are for what's ahead, I wanna take a minute to highlight the results we posted for
Marc Holliday: for the fourth quarter where many of our operating metrics exceeded the expectations we just laid out in early December at our Investor con From an earnings per perspective, we printed an FFO beat of 2¢ a share, driven by higher NOI due to lower expenses, net of reimbursements, which came through both in the earnings beat and in same store cash NOI that was better than we expected for the quarter. There's also an improved contribution from our hospitality business, which saw a solid fourth quarter of activity. And lower G and A, which as I highlighted back in December, is already low based on our AUM and relative to the comparable peer set. These positives were partially offset by lower operating profit from Summit is affected by the later than expected opening of the Ascent premium experience in mid November, and some additional maintenance costs we incur related to it. And finally, for those who like to refer to FAD, hopefully, took note that we actually beat the initial guidance we gave back in December 2024, by $65 million. Almost 20 million of which happened in the fourth quarter alone. On the leasing front, we closed out another banner year. Congrats to Steve and his team with almost 800,000 square feet of Manhattan office leasing in the quarter, bringing the annual total to 2,600,000 square feet and our three year total to almost 8,000,000 feet. And the strong leasing in December specifically allowed us to ultimately exceed our mark to market expectations for both the fourth quarter and the full year. Our same store leased occupancy objective was also met, albeit a couple weeks later than we expected. Ended the year at 93%, which is sector leading and reflects an increase of almost 400 basis points since the lows at the end of the 2024. Yes. We did say we would end the year at ninety three point two. However, some tenants in our pipeline that we expected to sign in December decided they wanted to enjoy the holidays with friends and family, versus answering Steve's phone calls and signing leases. So they waited until January. Including the same store leases that were signed after January 1, in our December occupancy, we would have been at 93.2. So it was simply a matter of timing nothing more. More importantly, with a 142,000 square feet signed so far in January, and a pipeline of more than a million square feet behind that, we are well on our way to achieving our 2026 leasing goals, including our same store occupancy objective 94.8% by the end of the year. All in all, a very solid fourth quarter, puts us on great footing to achieve the objectives we laid out for 2026 and for earnings growth in the years beyond. With that, turn it back over to the operator for questions.
Operator: Thank you. Fantastic.
Alexander Goldfarb: A question, you will need to press 11 on your telephone and wait for your name to be announced. To withdraw your question, please press 11 again. Please stand by while we compile the Q&A roster. Moment for our first question. Our first question will come from the line of Alexander Goldfarb from Piper Sandler. Your line is open.
Marc Holliday: Great. Hey. Good afternoon. Thank you. Steve, maybe just hitting AI upfront. You know, we've now had AI AI out there for quite a while. You know, the market seems to be shaking out. You know, But you see, like, law firms, for example, they're bidding aggressively for associates You see the demand that you guys and others are showing for office, and at the same time,
Steve Durels: other industries are talking about downsizing from AI. So can you just give an update how your tenants and the tenants who are driving the market how they are incorporating AI, and are they truly downsizing any people, or this is just all, like, part of the mix and, therefore, AI is part of their business, but it's not affecting their hiring plans or how they're how much space they need to take.
Marc Holliday: Well,
Operator: that's a lot of ask to get to. That that insightful into exactly why
Steve Durels: tenants are using AI. But I I'll give you what what we're seeing from a leasing perspective, which is I've not heard of a single instance of the deals that we've done where tenants have downsized as a result of of AI. Just the opposite, you know, many of the deals that we're working on, I would say, quite frankly, the vast majority of the deals we're working on have some element of growth, whether that's growth because AI is making it more efficient and more profitable and and and delivering more opportunities to develop their business, one can only speculate. But you know, maybe pivoting a little bit more onto the AI demand side of the equation. You know, this AI tenant leased a million square feet last year. There's currently 80 tech tenants in the market right now. With active searches for over 8,000,000 square feet. Of that, there are 13 known AI requirements. Over a 200,000 square feet. So to the extent that there's any space savings on other businesses, it's clearly being offset by an exploding growth of AI demand in the marketplace.
Alexander Goldfarb: Okay. And then, Marc, on your Asian adventure, know, it sounds like some productive meetings over there. Are there any areas of interest where the overseas investors want that surprised you? Or or how are they talking to you about the money in terms of are you giving them the ideas of, hey. We can invest here and there, or they're saying, hey. Here are the areas that we wanna focus on. And this is where we'll give you more more money. I'm trying to figure out you know, which way the horse race is being driven and if it's conjuring up some new opportunities or maybe just reaffirming your existing game plan?
Steve Durels: Well,
Marc Holliday: I I I think the way I would characterize it is the way
Operator: you know, I've seen it in the past, but really only you know, several years out of three decades where the money inflows into these institutions seems to be so great and real estate has to you know, sort of maintain its certain percentage of total AUM for these different
Alexander Goldfarb: investors.
Operator: And many of these, you know, country investors have kinda maxed out their investments in their local economies. And they really can't invest more. So they a, are, you know, almost forced, if you will, to look outside their borders. And when they do that, it was quite evident to me there's really only a couple of areas that they feel comfortable investing in worldwide and certainly in The US. And the the the constant theme of New York City, Midtown Manhattan, you know, real estate being sort of the real estate equivalent of US treasuries. I think really resonated in terms of you know, risk adjusted downside safety and a path towards real returns where you can still earn double digit returns on good core real estate assets because interest rates in The US are still relatively high and cap rates are still relatively high and that translates well for a lot of these investors. So there was a lot of our counterparties you know, telling us that they are looking to us to help them deploy capital in various different ways, debt and equity, development and core assets, You know, some is more opportunistic. In some cases, people have interest in the summit platform, and sponsoring growth in the Summit platform in various markets, etcetera. So it was, you know, it's just great meetings. Our franchise in those markets is is very well known and highly regarded. You know, there seems to be a lot of capital deployed in '26, and notwithstanding some of the geopolitical events with, you know, particularly with tariffs. You know, both ways, you know, US tariffs of foreign goods and foreign tariffs of American goods. It seems that there's still a desire to you know, convert money to dollars and put it to work in New York City and in many cases with us. So, it was a very good trip all around.
Steve Durels: Thank you.
Operator: One moment for our next question. Our next question will come from the line of John Kim from BMO Capital Markets. Thank you. On the new disclosure that's provided on page 31, Matt, on
John Kim: the difference between the physical and economic occupancy. I guess it would suggest that there's another $78 million of rental revenue coming to SL Green from leases that have already commenced. So I'm wondering, when, as far as timing, when you will recognize that on both, like, a GAAP and cash basis? That's about the
Marc Holliday: most specific question I've gotten in a while. Look. You know, we gave economic occupancy as a new stat we would be referring to back in December. So, you know and we and we guided to where it was gonna end. 2026. Property by property. Obviously, you need a starting point for that, so we threw it into December. How they growth from the December number December 25 to December 26 number plays out. We don't give quarterly guidance, so I'm not gonna layer it in, you know, first quarter, second, third, and fourth. But we gave you, you know, full year NOI guidance It translates into significant same store NOI growth, three and a half to four and a half percent. Over the course of the year. So you say it's coming in over the course of the year. How it bleeds in somewhat out of our control because the tenants control when they finish their space and can move in, and that's what triggers revenue recognition. So for that, among other reasons, you know, we give it on an annual basis and can't give you how it bleeds in over the course of the year.
John Kim: But can you give us, a rough estimate? Like, would it have to come this year and half? The following years?
Steve Durels: I cannot.
John Kim: Okay. My second question for you is the stat outperformance. That you mentioned, 20 million this quarter. What drove that? Is any of this timing related? And how does that impact your views, on the dividend?
Marc Holliday: How does it impact the view? What was I you you On on on the on maintaining the dividend. So FAD and dividend are unrelated topics. So I'll start with that. As it relates to Fed outperformance, I think part of that is, you know, our being very vigilant about capital spend and also gives evidence to to the, you know, the unpredictability of FAD, which is why office companies like us don't guide to it. Because it's it's largely out of our control it comes to the tenants' capital spend. If they elect to build that space and call capital, that, you know, we we have to fund that. If they defer or just spend slower, we can't control that. So I think the combination of those things plus just FFO outperformance you know, pure earnings outperformance all drove the overall FADB As it relates to to dividend, you know, FAD is not the governor of dividend. FAD is a stat just like FFO is. And so the dividend is a an accumulation of, you know, taxable income items, and, and that's what will drive our dividend on a go forward basis.
Operator: Great. Thank you. Thank you. One moment for our next question. Our next question will come from the line of Nicholas Yulico from Scotiabank. Your line is open.
Nicholas Yulico: Thanks. I guess just going to the asset sales guidance that you've given, the $2.5 billion and you gave some NOI impact this year that was expected. Is it right to think that, that's the timing of the asset sales is more of a back half of the year impact? And can you just give us any sort of range on how to think about cap rates for the different asset classes that you're selling?
Marc Holliday: So you're right to say that it's mostly back half. You know, we do have some asset sales. Harrison commented that there are term sheets contracts and, you know, advanced discussions. So maybe we can get some of those wrapped up, you know, in the first half of the year. But by and large, a lot of it is is second half. And, you know, we're we're selling probably the most diverse group of assets we ever have. We have some stabilized office. We have development sites. We have residential. We have retail. A little bit of everything. I I wouldn't hazard to, you know, put a blanket cap rate on all of that, and we talk about a development site. There is no cap rate. I if Harrison wanna add anything to that.
Operator: No. I think that's right. I I you know, for also for competitive purposes, I wouldn't wanna put a cap rate out there that you want us negotiating the best price. But yeah, I would add that we put out that business plan only a couple weeks ago. We have a very high degree of confidence in executing on that plan. That's why we put it in front of everybody. And we are hard at work in getting that plan done. And as I mentioned, four of those deals are already in term sheet or contract negotiations.
Marc Holliday: So, hopefully, some more news to come over the coming months.
Nicholas Yulico: Okay. Thanks. And then I just want to follow-up on on the dividend question. I know what you mentioned on Fed and how it doesn't impact necessarily the thinking on the dividend, but I was just wondering to see if you could give us a little bit more of the thought process of the board because you know, ahead of the the March decision on the dividend, how the Board is thinking about it because we're all seeing that FFO and likely Fed is going down this year. And so it kinda raises questions about the dividend. Any additional commentary there would be helpful. Thanks. Yeah. I I would you know, it's
Operator: it's premature to have a dividend conversation right now. We'll take it up with the board. I can tell you the board doesn't just look at the next quarter two or three. The board takes a holistic look, and we're gonna look at things in the coming years. I think '27 is gonna be a really strong year. So, you know, we don't it's we don't peg the policy quarter to quarter. It's intended to be underpinning of a long term plan of investment and harvesting, repatriation, creating free cash flow. And one of the biggest parts of that plan now, which is different than it used to be, is the creation of, you know, pure net fee income. Unlocking the value in the platform over and above just our asset value. And that you know, money, if you will, is kind of in place of what used to be DPE income. And think you get a much higher multiple. It's much stickier. And it's, you know, core to who we are to build up this, asset management business further. You heard Harry talk about the launching of a new fund which we will do in '26, and that's not even in you know, those numbers. So I feel very good about the earnings trajectory of the company
Alexander Goldfarb: as
Operator: you know, all this development we did and all these leases start, you know, activating and coming into recurring FFO in '26, maybe back half and certainly beyond, '27 and beyond. And you know, those are the kinds of things we'll look at in addition to taxable income. And in addition to cash flow when setting a dividend policy. So you know, I think what you're hearing is we're generally optimistic as it relates to the business plan. Where we peg the dividend you know, at a moment in time is something the board will take up in, I guess, March or April. March March. And you know, there's not a lot more I can add, you know, to that.
Alexander Goldfarb: But
Operator: I you know, you you you mentioned something about, you know, declining or falling earnings this year. This portfolio is without question. The best portfolio of assets with the highest earning capacity this company has ever had And at the end of our $7 billion refinancing plan, our 2.5 billion dollar disposition plan, you know, the balance sheet's gonna be exactly set to where we want it to be at the end of this year. And we're, you know, poised for opportunity and growth. You know, earnings growth and and value growth. So you know, the dividend will have to suss out in in March But you know, this is not a company that feels like it's in a a moment of decline. I think we're in a moment of
Alexander Goldfarb: expansion.
Operator: On all levels. And, you know, think the private market gets that. And I hope the public market, you know, comes to realize the great successes we're having in this market and follow suit. Support. But until then,
Alexander Goldfarb: you know,
Operator: you know, we're happy it's a necessity that we have extraordinary support from global investors.
Nicholas Yulico: Alright. That's helpful. Thanks, Marc.
Operator: Our next question comes from line of Anthony Anthony Paolone. From JPMorgan. Your line is open. Great. Thanks. And, Matt, maybe just to to clarify, to make sure we got the strike
Anthony Paolone: right. So this new occupancy or economic occupancy, you gave us the 86.7% for year end. 2025 for the same store. So the the number in your guidance for '26, is that the apples to apples with that for year end '26, or is that the average across the year just make sure we got this right.
Marc Holliday: The the economic occupancy we publish at the investor conference is your question, Tony? Was that was that end of year or Yeah. Like, say, That was that was Yeah. I pushed the year end. Was average. Year year end year end is higher. Year end is higher.
Anthony Paolone: Okay. And that but that is apples to apples then with this $86.07 that you now gave us.
Marc Holliday: Yeah. The the well, the published number is as of the December. We guided to in, at the investor conference for '26. Was an average. The year end '26 number would be higher. But in order to kinda get people to an average since this annual guidance to give a year end number is not really given a a picture as to how the the earnings growth might look over the course of the year. We did an average. By building.
Operator: Okay.
Anthony Paolone: Got it. That that's helpful. Thanks. And then just second one for me. Just curious, Worldwide Plaza has been in the news a bit. Can you remind us like what that FFO impact is? Like, is that thing running at an FFO loss or is interest in, like, penalty interest? Like, how does that work for for your earnings right now?
Marc Holliday: It generates $7 million of FFO.
Operator: Okay.
Anthony Paolone: Got it. Thank you then.
Operator: Our next question will come from the line of Blaine Heck. From Wells Fargo. Your line is open.
Marc Holliday: Great. Thanks. Mark, just wanted to follow-up on your trip to Asia and dig into the drivers of the increased appetite since foreign investment has been lower over the past few years. Weakness in the dollar has been a big headline over the past few days and weeks. So I hear you on rebalancing domestic versus international exposure for those clients and and them searching for higher yields. But how much of a part of their increased appetite do you think a weaker dollar is playing, if at all? And if that continues, are you expecting that to provide you access to additional partners for fund investments or acquisitions? Or does that just mean more competition for for assets and just higher values across the market?
Operator: The second part of that question, you said the with respect to the the the the valuation push, what what exactly did you ask?
Marc Holliday: Yeah. Just, you know, does does that increase appetite? For investment in Manhattan? Just do you think of that as providing you access to additional partners for fund investments or acquisitions? Or does that just mean more competition for assets and higher values across the market?
Operator: Okay.
Marc Holliday: So, you know, it it's it's it's interesting. When the dollar was strengthening, and other currencies were weakening, you could have made an argument that maybe US assets would become less attractive, but we didn't experience that. Because at that moment in time, people wanted to get their foreign currency into US currency because they felt that, you know, US had great real growth prospects. And once that money is here, I think the intention with a lot of these investors is it stays here. And gets reinvested. You know? They're not just rifle shotting certain asset investments opportunistically, but they're looking to set up, you know, investment platforms in you know, domestic markets here in The US. And, you know, there's a at that moment in time, there was kind of a intentional, directive to diversify some money into, you know, it was then a a strengthening dollar. And I didn't see that hurt our ability to raise money really at all. And plus, a lot of these sophisticated investors have hedging strategies that know, I think mitigate some of that risk. Now with the dollar depreciating, it obviously makes the assets, you know, somewhat you know, less expensive. But, also, remember, that means rates are rising in their home countries. So that that relative advantage we had, The US rate versus, you know, home country rate, is probably you know, narrowing a bit, but still decidedly in favor of US. And, you know, yes, I think the appetite picks up more with the depreciating dollar. Which, you know, creates more demand, but certainly, you know, push pricing, but nothing pushes pricing as much as interest rates. You know? If you're looking for a push on pricing, you know, maintaining or or or falling rates, I think, would have you know, an explosive effect on values in the city. You know, right now, maintenance of rates, I think it's a fair market and and we out compete in that market. And I think you know, it makes it more attractive for investors to invest. And, you know, there was, you know, there was very little talk about the exchange ratio being a barrier in any, you know, way, and know, in some cases, it was certainly a benefit. So you know, I think it's a good trend, but I don't wanna, you know, give you the implication that if that reverse itself and the dollar starts strengthening again, I would expect a dramatic tapering off. Because I still think there's a diversification play, a global diversification play into, you know, markets where they're underrepresented investments I think that's the number one reason we're seeing these money flows, you know, in our direction. Harry, you have any thoughts on that? The only other thing I would add is what you heard me talk about in December. And in my intro which is just the relative value of commercial office properties in New York. A lot of what we're hearing from investors to Mark's point about waiting is they're heavyweight in data centers and other asset classes that have seen
Steve Durels: big
Marc Holliday: appreciation in pricing over the past three to four years. They haven't seen we haven't seen that type of appreciation for the past few years. In commercial office assets. And that's what's enticing them into this market.
Blaine Heck: Is the relative value versus other opportunities and other asset classes. Okay. Very helpful commentary. Second question, you have a significant disposition target for '26 and a solid occupancy trajectory forecast for the year. Can you give us any idea of how much of the occupancy gain is related to selling off under leased buildings? And how much of the gain is related to organic leasing of vacancy throughout the portfolio? It's Matt. I would say the occupancy objective is very nominally, if at all, affected by by asset sales. You know, there are there are some asset sales that we have in there that are lower occupancy that we could not consummate and still meet our objective based on the leasing trajectory we're seeing. So, you know, will it have an effect? Potentially. Was it factored into our objective 94.8? Achieving it or not? Yes. So we we could do without the disposition plan and likely achieve our target.
Operator: You know, Blaine, I would I would point you in the direction of a slide we used in the investor conference I thought it was a pretty impactful slide, which listed, I think, you know, a subset of mostly all our buildings or all material buildings, if you will. In terms of current occupancy and where we expected to be at the end of the year, And those are same store, obviously, between 2526. And, you know, it showed not only in almost every case, maybe not every case, but the the vast majority of cases, occupancy gains being projected, which underlie the march forward from '93 to '94. Plus in 2026. But, you know, shows you two stories. One, we're operating at the highest levels, I think, in the market. At getting to '95 and above on a on a on a major segment of our portfolio. But still, we wanna see those properties a 100% leased. You know, people say, well, it's impossible, frictional, whatever. We've got properties that are 99 and a 100% leased. And in a tight market, you know, I think 97 plus is not unachievable. We've achieved it in the past. And every 100 basis points for this company has a dramatic impact on the bottom line. So you know, I just think, you know, referring back to that slide will give you good visualization of where we see the occupancy gains coming from.
Nicholas Yulico: Great. Thank you, Gus.
Operator: Thank you. One moment for our next question. And our next question will come from the line of Brendan Lynch from Barclays. Your line is open.
Brendan Lynch: Great. Thanks for taking my questions. Maybe one for Harry. Appreciate the color on the spreads tightening over the past couple of years. What do you think could get us back to the tight spreads of the pre COVID era? Is that more macro related or more off the sentiment related? And kind of what's the house view on the trajectory and time line of spreads tightening going forward?
Operator: Yeah. I think it's more macro and and relative yield focused I will say just even through the Park Ave Tower, financing, that was tightening, like, up to the last hour.
Marc Holliday: Of bidding out those bonds.
Operator: And, you know, I think we're gonna continue to see a trajectory over the next six to twelve months that the spreads like you saw us go from 11 Madison into Park Ave Tower, You'll next see 1 Madison, and then you'll see 245 Park. You'll continue long as we stay on the current trajectory. See those spreads tighten as we go throughout the year. And a lot of that is new entrants coming into the bond market that
Marc Holliday: are recircling. I I met with someone this morning, a North American based investor,
Operator: coming back into the bond market that wasn't there for for quite some time. So you know, we're gonna continue to see that momentum and that will continue to tighten the spreads.
Brendan Lynch: Great. Thanks. That's helpful. And maybe another question on the trends within concessions. It looked like the TI packages in free rent ticked up a bit in the second half of the year. Despite the really strong demand that you guys are seeing. How should we think about those packages going forward?
Steve Durels: Broadly speaking, I'd say much of what we saw last year continues today, which is concessions have been very stable. There's been opportunities to tighten them up in certain instances where whether it's on certain parts of the market where there's where there's a lot of landlord, leverage. Particularly on renewals and and the sort of call it the small to medium size. Tenants. We're seeing some improvement on the concessions there. But I think, you know, what you'll see this year is free rent will start to come down a little bit. And I think TI, you know, will be the last thing to to to change. Although, again, on the small to mid midsize and particularly on the real rural size, we've got the leverage to be able to to to improve reduce the amount of TI that we're giving on those transactions. And I think what you saw this particular quarter is simply a reflection of the complexion of deals. You know? If there were a lot of bigger deals, new transactions, and those naturally carry the bigger TI packages.
Brendan Lynch: Great. Thank you for the color.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Manoush Ebek from Evercore ISI. Your line is open. Thanks for taking the question. Just wanted to see if we can provide some color
John Kim: on the pipeline specifically for leasing demand outside of Park Avenue.
Steve Durels: The pipeline, despite all of that big leasing in the fourth quarter, we've kept the pipeline full, over 1,000,000 square feet of of pipeline. I think what is most notable, and I think this is important for people to hear, of the over a million square feet of pipeline, 800,000 square feet of that pipeline are leases that are out. So these are not just know, hoped for transactions that will convert. 800 of the million square feet or leases that are in negotiation, and many of them are in close to execution form. Also within that pipeline is 900,000 square feet of new tenants as opposed to renewals. And then the you know, as far as the type of tenants, heavily weighted towards finance, half this half the pipeline is financial service businesses. The balance being tech and legal tenants.
Marc Holliday: Gotcha. And maybe a quick follow-up. Just, like, how old would you classify, like,
Steve Durels: 6th Avenue or 3rd Avenue right now, like, just in that mix?
Steve Durels: 6th Avenue is the new Park Avenue. You know, Park Avenue is the tightest market submarket in the country. 6th Avenue posted some really big deals. You're seeing rents rise dramatically on the avenue. Given the tightening of supply. What we've experienced in particular, I think, is a really good case study of what the strengthening marketing on 6th Avenue is. Many of you have inquired about the vacancy or the rollover that we had at 11/1956 over the past couple years. We had four big tenants. That rolled out of the building or in one case, one more tenant still to go. Over almost 700,000 square feet of that, covering 25 floors of space. Since that period, we've leased 434,000 square feet. We have leases out a 135,000 square feet. Deals pending on a 131,000 square feet. Which leaves us only 24,000 square feet to deal with of that almost 700,000 square feet of roll, which I think is an amazing case study to the strengthening of the submarket to say nothing of the strength of the leasing team, of course.
John Kim: Gotcha. Perfect. Thank you. I appreciate it.
Operator: One moment for our next question. Our next question will come from of Ronald Camden from Morgan Stanley. Your line is open. Hey. Great. Just two quick ones.
Ronald Kamdem: On the same store NOI guide of of 4%, yeah, I think last year, there was some headwinds from sort of summit operator was just curious if we could sort of decomparentalize
Operator: that guide in terms of the benefit from Summit versus occupancy versus other factors just just to get a sense of that 4%? Thanks. I would say, you know, Summit has has an impact
Marc Holliday: but it's not gonna be the the main driver of it. Clearly, the driver is, you know, occupancy increases. As I said in my earlier commentary, you know, we've driven same store occupancy from, you know, up 400 basis points in a period of you know,
Operator: three,
Marc Holliday: seven quarters, that starts to flow through. That's why we show economic occupancy, as a new metric. Taking forward with still growth thereafter. That translates into, obviously, same store NOI growth, of, you know, the the three and a half to four and half percent this year and, you know, 10% plus in in 2027. You know, the the summit effect that it had an effect, so it'll be, you know, helpful in 2026, clearly, to have Ascent back up and running and Summit back on, a great footing. But it's not the driver. Helpful. My second one is just, going back to the dividend.
Operator: Payout ratio. I appreciate FAD is not the right sort of way to look at it.
Ronald Kamdem: But I guess my question is, you know, when you think about sort of the cash flow statement, that you guys published and that is out, there's always sort of a big delta between the operating cash flow
Operator: and the dividend payment because you have a lot of JVs. Guess the question is, like, how do we think about the recurring cash flow payments of the JVs
Ronald Kamdem: And is that something that when the board is thinking about the dividend payment, is that the right way to sort of think about
Marc Holliday: the consideration versus that? Thanks.
Ronald Kamdem: Well, I I can
Steve Durels: I look at cash flow?
Operator: And cash flow is comprised for this company of operating cash flow and the gains we take on sales. Because we are an active seller of real estate. This is we are just not a buy and hold company. And if you evaluate us and our dividend only from the you know, lens of buy and hold,
Alexander Goldfarb: which I don't you know, a nonactive
Operator: way of managing the real estate, then you know, we'd have to look at different metrics as a board. But as a board, we look at you know, buying things that are it's like unformed claims and cases. You know, breathing new life into older buildings, developing new buildings, entering the transactions to create you know, high IRR and, you know, we often will monetize I think we've sold much more real estate than we currently own and we own 30,000,000 square feet. So that's saying something. And to only look at one metric, for purposes of total return and dividend, etcetera,
Steve Durels: coverage.
Operator: I I just
Marc Holliday: would you know, my opinion, I think the board's opinion would be don't look at it that way. Look at it in totality. For all the revenue we generate. Because all of that revenue, which, you know, often is taxable, is what goes which I think is what Matt's saying is that's our metric and that's our barometer. For setting up the dividend. We don't just occasionally harvest gains. You know, this year, it's a 2.5 billion dollar plan. Last year, it was, you know, a couple of billion dollar. Year before that, it was a $5 billion plan. I mean, this is what we do and who we are. You guys know that. You absolutely know green. Buys, improves, develops, stabilizes, harvest, move on, does it again. I've been doing it here at this company for twenty seven years. And it's has not changed much over the twenty seven years. The assets have just gotten better. The number's bigger. But, you know, the culture and the ethos the same. So you know, I I it's it's not a debate per se. It's just this is how we look at it. At the board level and, you know, we've been able
Steve Durels: to
Operator: you know, keep as good a dividend policy, I think, over those years as we possibly could given the ups and downs of the markets. And, you know, we're just gonna stay on that theme.
Steve Durels: And,
Operator: keep
Marc Holliday: you know, evaluating it through that you know, through that
Steve Durels: telescope of
Marc Holliday: of the different types of businesses we do and the contributory cash flows to that business, the taxes that result thereon and the of the dividend we think at the proper
Operator: Thanks so much. One moment for our next question. Our next question will come from the line of Peter Abramowitz from Deutsche Bank. Your line is open.
Peter Abramowitz: Yes. Thanks for the time, and thanks for taking the question. Just wanted to go back, Matt, you had some comments on maintenance costs at Summit in the quarter. Just want to confirm, are those sort of onetime just related to Ascent? And is there any change in sort of the '26 outlook you gave in December for Summit?
Marc Holliday: No change in the '26 outlook unique to the fourth quarter.
Peter Abramowitz: Okay. Got it. And then I guess, either for for Harry or for Mark, you talked about of the deployment you're starting to look at out of the debt fund. Could you just give us a sense of
Alexander Goldfarb: of where your underwriting returns on some of those initial investments?
Operator: Yeah. Sure. I mean, the we've we've given out a slide at the investor conference that fund targets gross returns of mid teens.
Peter Abramowitz: Okay. And so largely, what you've seen so far is fairly consistent with what you talked about at the Investor Day?
Operator: Yeah. Absolutely. I mean, no change in the past few weeks. Mostly focused on subordinate credit. For all the reasons I I gave in my introduction. And we're still seeing opportunities there to get the capital out. In very interesting opportunities.
Peter Abramowitz: Alright. That's all for me. Thanks.
Operator: Thank you. One moment for our next question. Our next question will come from the line of Seth Berge from Citi. Your line is open.
Seth Berge: Hi. Thanks for taking my question. You know,
Steve Durels: might be a little early, but just in the context of you know, one of your peers who owns a site across the street announced some preleasing, I guess, you talk a little bit about kind of any early indications of demand for the 346 Madison development site?
Operator: Well, advanced demand for 346. Well, we just we just debuted it last week. Hope everyone liked the the design and the you know, it's we closed, I think, in September or October. Somebody can correct me. You know, within those few months, we conducted a fulsome design competition. Went through a range of different designs to get to something that, you know, we settled on as being something that we think is really gonna be you know, you know, world class to know, to try and stay within the spirit of of doing, you know, efficient buildings, but really attractive buildings and well mentized, etcetera. We're excited for this project. We think it's the right project at the right time. I think we just formally unveiled it last week, and I know, Steve, your phone's been ringing and you've had some pre conversations. So, you know, where are we at?
Steve Durels: Yeah. I I listen. My only wish is that we had the building built and ready to go today because it'd be more than enough demand to to fill it. Just to give you a sense of the kind of large tenant demand that's out to this 250 tenants that are being tracked in the market right now covering 26,000,000 square feet of of tenant demand. Of that there are 32 tenants with requirements over 250,000 square feet and another 30 tenants with requirements between a hundred and two hundred and fifty thousand square feet. There is a there is a dearth of supply for high quality particularly large block spaces. If you if you look at the high end of the market, you know, the best of the best part of the market, there's a 3.7% availability rate. And there are no 100,000 square foot blocks in the what's considered the best of the best part of the market. So, consequently, you know, let's get the building built because we'll fill it like, you know, Pronto.
Seth Berge: Great. For taking my question.
Operator: One moment for our next question. Our next question will come from the line of Vikram Malhotra. From Mizuho. Your line is open. Afternoon. Thanks for taking the questions. I guess just first,
Seth Berge: you've talked a lot about the leasing
Vikram Malhotra: pipeline trajectory, getting to that occupancy number. You know, one of your peers, yesterday, said, New York on new leasing, you know, you're doing double digit roll ups. We can see that in your reported numbers. You you see roll ups. I'm just trying to understand as it stands today with the pipeline, like, where would you peg your, you know, portfolio mark to market today?
Operator: We'll give more to work done, sir.
Marc Holliday: Well, yeah, we gave we gave guidance for our objective for the year back at the investor conference. Don't mark to market the portfolio you know, as in its entirety because you can't mark to default market this, you know, in in one shot. But I would say our our pipeline reflects the exact range that we we gave in December.
Vikram Malhotra: What was the range in December?
Operator: Do you recall? So the high high single digits.
Operator: Okay.
Vikram Malhotra: Just I I know you you know, I'm not going into, like, what is FAD. Does it cover your dividend or not? Does it matter? But just one component Given the leasing you've done last year that you know, commencing and then the tenant's spending money, and all the leasing you're doing this year, how should we just think about actual dollars in terms of TIs that are hitting that fat calculation this year versus last year? Thank you for leading in by saying you're not gonna compare
Marc Holliday: Fed to the dividend. I appreciate that. As it relates to trajectory, you know, we we are still funding as we did in '25, you know, leasing that we've done for the last couple of years. That, though, as volumes you know, slow as we get the portfolio full, once you get to we're gonna get to close to 95% by the end of the year. So you know, volumes will will, you know, drift lower and then we, you know, Steve is seeing concessions kinda moderate. Then that spend goes down. It's kind of the natural natural progression, and that follows with the NOI growth that we're seeing next year. And and thereafter.
Steve Durels: Yep. You know, it's worth noting that that over the next four years, we have the lowest rollover that I recall in the in the company's history. Less than 900 thou typically, 900,000 square feet of leases expiring each year over the next four years, whereas, typically, we were a million 2 to a million 5 or more in certain years. I I think another way to look at it is I think over the past
Operator: two years, we did 6,000,000 square feet of lease, I guess. 8,000,000 in three What's that? 8,000,000 in '3. 8,000,003 six million two years.
Operator: I think our projection for the year is, like, a million 6 or a million and a half.
Operator: I mean, in that range, 1.5, 1,600,000.0. Don't have rejection for next year, but we that we've been public with, we certainly have our own internal projections. And suffice it to say, as we continue to fill these buildings and get towards occupancy the volume of leasing necessary to generate high occupancy becomes somewhat less. Capital associated with that, becomes less, and the scarcity value allows you to trim in renewal TIs and free rent back to, you know, levels that are received. So there's there's multiple reasons why we would see a big improvement in in that FAD number in '27, which is what I was trying to allude to two or three questions ago on FAD.
Operator: And
Marc Holliday: you know, this is
Marc Holliday: this is just
Marc Holliday: you know, the reality of 6,000,000 feet of leasing in two years. You have to pay the capital to But now we've got 1,000,001 half square feet we're gonna lease this year unless we over exceed that. And the projection for the year after and the year after, as Steve just said, are gonna be relatively modest. Because of the less role and and the tightening of the packages. So you know, that's where it is. But it's it's it's a good news problem, guys. It's a it's a good news reality that you know, we're paying to install a lot of ten, fifteen, in some cases, twenty year tenancy often at triple digit rents. What was our average rent for the quarter, Matt? Low nineties. Low nineties. You know, we're we're we're in the nineties to hundreds. You know, now for average rents. In this portfolio and you can you know, that's where you start to make some real margin to cover the concessions and you know, contribute to the cash flow of the company. But it took a lot of work over past few years to get here. And now we're here, and we're kind of enjoying that. So I think we're we're six or twelve months ahead of I I think the you know, the narrative here, you know, looking out to '27 and beyond. And, you know, we see a lot of you know, a lot of great you know, recovery there. Both FAD and earnings, which, you know, will be the subject of you know, discussions in the second half of this
Vikram Malhotra: No. I just I appreciate that. I guess, you know, we're just trying to understand you through the 10% same store number for next year, which is a great acceleration. But just trying to understand whether it's like delayed TI spend or debt or debt refi or asset sale impacts, which will you know, may or may not be dilutive. But just as we go, that how much of that 10% then gets offset so that maybe the fat growth gets pushed out again one year? That's kind of, I guess, I'm just trying to make one big piece of it that's been a headwind the last three years, and you're saying it's gonna be a tailwind. But ultimately, I guess, we're just trying to understand how much of that 10% next year gets eaten up.
Marc Holliday: I think I think Mark gave you all the commentary you need We have 10% NOI growth coming out of it, and and capital, should be moderating.
Vikram Malhotra: Yep.
Marc Holliday: That's it. That's the end game.
Operator: Thank you. One moment for our next question. Next question comes from the line of Michael Lewis from Truist Securities. Your line is open.
Michael Lewis: Great. Thank you. I apologize if I'm just blanking on this, but why is Landmark Square now 733,000 square feet?
Steve Durels: Versus 863,000 square feet
Michael Lewis: the quarter before. Did did a 130,000 come out of service for something?
Marc Holliday: Yeah. There's a that's a that's a campus made up of multiple buildings. One of the buildings is under development, so it got popped out of the the operating property square footage, and it's over in the development square footage.
Vikram Malhotra: Nice catch. Okay. That's great. That that'll do. That would have been my first that I've asked?
Marc Holliday: I I I did.
Operator: Yeah. We have some exciting things we're working on on one of the buildings.
Steve Durels: Wanna
Operator: Yeah. We we got approval last year to convert three landmark square to residential. We just received the approval from the town, and now working on capitalizing that deal.
Michael Lewis: Okay. Thank you. And then
Steve Durels: my second question, you know, there were questions about rent and mark to market and cash rent spreads. You know, this is one of the things with office, I think, that gets confusing.
Michael Lewis: I just tried to do a quick back of the envelope. I looked at the last five quarters of your leasing for rent, term, free rent, TIs, and then I did the same thing for the trailing five quarters. In 2019. And it's not clear to me. Right? Like so TIs and free rent periods are up
Marc Holliday: like, 60, 70% since then. Rent's only up, like, 20, 25%. It's not clear to me that the the total lease economics are better.
Michael Lewis: I just wonder, you know, how do you think about that, you know,
Marc Holliday: first of all, as a as a signal of strength in the market or what's happening in the market? And, also,
Michael Lewis: in negotiating. Right? Because these concessions could get sticky. People get used to them.
Marc Holliday: I don't know. Any thoughts on that about about the change in life holding the value of the cash rent? Gotta amortize the TI over the term of the lease.
Operator: To get to I mean, yes, the it's it's a nominal one time number, the upfront TI, but on a you know, fifteen year lease, just make sure, you know, I'm not I'm not questioning your math. I'm just saying make sure that when you're comparing a 20% annual rent increase make sure you're looking at the annual TI increase It's not 60%, you know, annually. It's you know, you guys spread it over the term of the lease. I mean, that's the only thing. I would say to that. But to to the more fundamental question That's that's a
Steve Durels: more leasing being done in new deals Right? New tenants coming in as opposed to renewals. I I think you look at
Operator: you know, the where it all comes home to roost is in price per square foot. For premium assets. So, you know, when you put everything through the rents, the TI, and the free rent, and you know, downtime, you know, asset values today for, I'll call it, you know, the top you know, 20% of the mark 25% of the market, you know, is is, I think, solidly between 1 and $2,000 a square foot. You know, fifth below 1,500 a foot for older but well located renovated product and, probably, you know, 1,800 to 2,500 a foot, maybe even 3,000 a foot. For, you know, for the best new product And so in order to achieve those kind of price per foot, they have to be supported with you know, the net effective increase of rents minus concessions. And certainly, if you look back to '18 or whatever period of time you were looking at, you know, asset values were were not there. So know, look. The there is a part of the market that's still recovering, and I think the story is yet to be told on you know, assets where the average rents are below a $100 a foot. And yet, you're right. The TI and free rent is relatively high relative to those leases. But for buildings that are enjoying average rents you know, well north of a 100 a foot, I think the improvement is both nominal and net effective. And so I wouldn't paint the whole market with one brush. There's different categories of buildings. You know, that we're referring to. And what we're referring to mostly is that upper echelon of building in East Midtown.
Marc Holliday: Yeah. Thanks. You know, the the economic occupancy
Steve Durels: addition, I thought was
Marc Holliday: was great and really helpful. It made me kinda, you know, dream of a metric where maybe we could put the whole value of the lease together. Right? You gotta dream himself up off
Steve Durels: the floor. Gotta have dreams, Mike. He's pulling himself up off the floor. Dare to dream.
Michael Lewis: Thank you, guys.
Operator: Alright. Thank you.
Vikram Malhotra: Thank you.
Operator: One moment for our next question.
Steve Durels: And our next question will come from the line of Caitlin Burrows from Goldman Sachs. Your line is open.
Caitlin Burrows: Hi. Hopefully, two short ones. Just first on the income statement, it showed that four q other income was almost $40 million which was up meaningfully year over year. Just wondering what led to that other increase in four q and what was included in there.
Marc Holliday: You know, the the fee income, flows through other income, is lumpy, as we said. You know, that's that causes some quarters to, you know, look high. In other quarters, we that's when we see the, oh, we, you know, we missed. It's often a function of when transaction close. So we had a couple of transactions like a hundred Park and eight hundred third, and those things closed in the fourth quarter. As well as some, you know, other special servicing fees that came through in the fourth quarter that that drove that number higher, just for the quarter.
Caitlin Burrows: Got it. Okay. And then back to those Summit onetime expenses. Sorry to bring them up again. I was just wondering, were they shown in the Summit operator expenses line or SL Green's operating expenses? Because it looked like operating expenses up again in April. But I know last quarter, we talked about AC cost being highest in March. So, yeah, wondering where those showed up and if it in the operating expenses, then what drove that?
Marc Holliday: So the Summit expenses were in Summit operator. Operating expenses along with other consolidated lines went up in large part because eight hundred third became a consolidated asset during the quarter when we bought out our partners.
Caitlin Burrows: Got it. Thank you.
Marc Holliday: Thank you. Operator, is that it?
Operator: Yes. This concludes our question and answer session. I would now like turn it back over to Marc Holliday for closing remarks. Okay. No no closing remarks, operator. I
Operator: think, you know, we've been on for quite some time. So thank you to all who stayed with us throughout. Thank you for the questions, and we'll speak to you all again in three months.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect. Everyone, have a great day.